Operator: Welcome to the Third Quarter Year-end Investors Conference Call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form as filed with the Canadian Security Administrators and in the company's annual report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Tuesday, October 31, 2017. And at this time, for opening remarks and introductions, I would like to turn the call over to the Founder and Chief Executive Officer Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, Operator. Good morning, everyone, and thanks for joining us for the third quarter conference call. I'm Jay Hennick, Chairman and CEO of the company. And with us is John Friedrichsen, Chief Financial Officer. This morning's conference call is being webcast and is available on the Investor Relations section of our website, as is a presentation slide deck to accompany today's call. Earlier today, Colliers international reported strong financial results for the third quarter continuing the momentum we have had since the first half of the year. Revenues were up 24%, adjusted EBITDA of 39% and adjusted earnings per share increased a strong 53% over the prior-year. Year-to-date revenues were up 17%, adjusted EBITDA up 25% and adjusted earnings per share up 39%. Based on our performance to date our pipelines of pending transactions and a relatively stable market condition as we continue through the year, we expect the fourth quarter and the full year to finish very well. As mentioned I'll limit my initial comments today and then pass things over to John for his financial report. So we can leave as much time as possible for questions. Since our last earnings call, we completed two smaller, but important acquisition. In Australia, we doubled the size of our project planning and management business and in Washington DC we further strengthened our operations with the addition of a high quality tenant advisory business in that market. So far this year we added about $200 million in revenue through acquisitions, well in excess of our acquisition target for the year, setting us up nicely for further growth in the years ahead. During the quarter, we also formally established company-owned operations in Japan for the first time. Although a significant long-term growth opportunity for Colliers, our efforts in Japan will be dilutive to EBITDA in the near-term as we invest in building a solid, sustainable platform in the third largest economy in the world. The other item of note is the appointment of Gil Borok as the COO of Colliers USA. Gill bolsters our existing Senior Leadership Team in the U.S. led by President Marty Pupil. Attracting a high-caliber and experience leadership team to our rapidly growing business is further evidence of our commitment to grow and operational effectiveness as we continue to take our business to the next level. With that, I would like to turn things over to John. John?
John Friedrichsen: Thank you, Jay. As announced in our press release earlier this morning and highlighted by Jay in his opening remarks, Colliers International Group reported strong financial results in our third quarter benefiting from acquisitions and solid internal growth compared to 2016. And our operated were negatively impacted by uncertainly related to the Brexit vote in the U.K. and U.S. Presidential Election campaign. I will address our Q3 regional financial results. Overall capital deployment cash flow financial position and our outlook for the balance of 2017, following the flow of slides posted on our website that accompany this call. Please note that my comments may reference non-GAAP measures such as adjusted EBITDA and adjusted EPS both of which are outlined in our press release issued this morning as well as the accompanying slide deck and our composed primarily non-cash charges that we view as largely unrelated to our operating results for the quarter. References to revenue growth including internal growth are calculated based on local currency and outlined in our press release issued this morning. Our Q3 revenues of $574 million were comprised of $188 million sales brokerage revenue versus $134 million last year up 38% while lease brokerage revenue came in at $188 million versus $148 million last year up 25%. Meanwhile we generated $198 million in revenue from outsourcing and advisory services, compared to $180 million last year up 8%. The more revenues generated by our outsourcing and advisory services segment represented 34% of our overall revenues compared to 39% in Q3 of 2016. Geographically, both revenues and adjusted EBITDA remain well-balanced with 58% and 53% respectively being generated in the Americas and the balance being relatively evenly split between EMEA and Asia Pacific. Turning to the regions, in the Americas revenues were $331 million up 28% benefiting from acquisitions and strong internal growth. Our lease brokerage showed the strongest growth of 38% and includes several significant office leasing transactions in our major markets. Growth in sales brokerage revenue was also strong up 27% versus last year and Outsourcing & Advisory revenues showed steady growth in the Americas up 16% with growth across all three of our principal service lines in both the U.S. and Canada. Adjusted EBITDA came in at $29.1 million versus $22.6 million last year and a margin of 8.8% the same as last year. Moving to EMEA revenues came in at $130 million up 18% versus last year with robust internal growth against the below par performance in Q3 last year. Sales brokerage revenue more than doubled to $40 million from $16 million last year led by a strong rebound in our U.K. sales brokerage operation which was negatively impacted by uncertainty following the Brexit vote last year. Meanwhile our German sales brokerage operation also saw a strong rebound in revenue as did our business from Russia and recently acquired operations in Denmark. Lease brokerage revenue in EMEA was approximately flat from last year. Finally Outsourcing & Advisory revenues were down 6% with a decline attributable to lower revenue and workplace solutions in France which had a very strong Q3, 2016. Meanwhile consulting and appraisal the project management in the U.K. contributed strong revenue growth. Adjusted EBITDA more than doubled to $11.2 million up from $4.5 million in Q3 of last year. And finally in our Asia-Pacific region revenues came in at $113 million up 12% driven by strong internal growth contributions across all service lines. Sales brokerage revenues was up 17% with robust growth in Hong Kong and China owing primarily to people investments made in these markets over the past couple of years and a strong quarter in Australia to accompany our results in Asia Pacific. Leasing revenue was up to a more modest 3% while Outsourcing & Advisory services revenues were up 13% with strong growth in all service lines across most of the region. Adjusted EBITDA was $14.2 million up from $13.2 million last year with our margin contracted slightly to 12.5% versus 13.3% last year primarily due to startup operations in our new Colliers business in Japan previously referenced by Jay in his opening remarks. Turning to our capital deployment balance sheet and our third quarter capital expenditures total $8.4 million up from $5.6 million last year bringing our year-to-date CapEx of $29 million up from $16 million in the prior year and in line with our expected spend to-date this year. Our estimated CapEx spent for 2017 remains in the $40 million to $45 million range. We invested $13 million in acquisition activities during our third quarter down from $36 million last year. However, our year-to-date investment in acquisitions totaled $98 million compared to $87 million for the nine month period in 2016. In Q3 we continue to generate strong cash flow before working capital cash flow increased to 43 million up 35% from Q3 of last year and after working capital investment increasing to 88 million up 38% over 2016. Our net debt position stood at $262 million at the end of the quarter and our leverage ratio expressed to net debt to adjusted EBITDA was 1.1 times same leverage as at the third quarter of last year. Subject to any additional investment and acquisitions of significance, we expect leverage to trend down during the fourth quarter to well below one-time. In terms of financial capacity with cash on hand and committed availability under our revolver, we had about 400 million of liquidity at quarter end a level ample to fund operations and other capital investments including acquisitions required to execute our growth strategy. Looking across our global operations, our pipelines of pending transactions remain solid and reflect steady commercial real estate activity which we expect to continue into Q4. Based on stable market conditions through the year we expect solid fourth quarter results you will have seen those reported last year support the full year outlook included in our Q3 slide presentation accompanying this call. That concludes our prepared remarks. And I would now like to ask our operator to open up the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Anthony Zicha of Scotiabank. Your line is open.
Anthony Zicha: Jay, could you please provide us what's the general market sentiment out there in the United States and what's the market telling us? And second part to that question is are there any change in the focus on your M&A activity, particularly in the U.S. markets and where you see the best prospects for M&A internationally?
Jay Hennick: Well there is a lot of questions in there. So my comments on the market generally in the U.S. are driven primarily around what we do for our living and that's service real estate owners and occupiers and I think general conclusion and John may have something to add to this, my general feeling there is the market continues to be very solid. It's hard to get incremental growth year-over-year although we're accomplishing it and you saw a lot of incremental growth for the quarter coming out of the U.S. this past quarter, but generally good market conditions, real estate continues to be an asset class that people want to invest in and want to allocate capital to and its not just U.S. investors. It's investors from around the world and that's one of the great advantages that we and a few others have and that is access to international capital flows who want to allocate their capital into the United States. So that's the general market conditions. From a Colliers perspective in particular, we're really enjoying these times because market-for-market we have the opportunity to increase our share and we're doing that to strengthen our leadership team, which where we're obviously doing. We believe that there is an opportunity for us to step up our bench strength to allow us to do more market-for-market, serve our clients in a way that's unique and different than some of our peers and we have several initiatives that we are implementing that are bearing fruit. So lots of growth opportunities market-for-market. Some of them are a little bit more mature than others, but interestingly several of the secondary markets have become very important markets like our leadership position in Detroit as an example and some other markets like that where the cities themselves are rejuvenating and is creating opportunities for us to really build a solemn sustainable business in those markets. And I think your last question was around acquisition opportunities primarily in the U.S. We continue to see them. We're very careful. We become more careful in the last I would say 18 months because we've done a lot and invested a lot in creating a creating a unique culture at Colliers and we really don't want to execute on an acquisition that would in any way dilute the great steps that we're taking around being the most entrepreneurial company one that doesn't have bureaucracy and makes rapid and well-informed business decisions. Believe it or not those are factors that are incredibly important and therefore to your clients too because our clients want entrepreneurial answers and ideas and opportunities and having a culture that fosters that becomes we think different than some of the others in the marketplace. So I think I answered all of your questions if I missed something, please let me know.
Anthony Zicha: That's good Jay and last question, Colliers decided to open up a corporate office in Japan, why now what's the timing and what opportunities do you see in that market that you haven't capitalized previously or your franchisee didn't?
Jay Hennick: Well Anthony you follow us a long time and you use to ask us the question which market would you like to expand in that we were not yet in and Japan was an obvious. We had an affiliate there who has been there for many, many years but really wasn’t developing the type of platform that Colliers needs to have in major markets including Japan. It was not easy to make the changes that we did but it's a fortitude it took a longer term process then we had hoped. But ultimately we were successful at the end of the day and we’re now up an operating we have a nice little office I think there's about 18 or 20 professionals but for Tokyo that's a very small and we see a big opportunity there. But it's not an opportunity that it’s going to come overnight the culture of that particular market is such that things move a little bit slower than in other geographic regions. But we're committed and we’re on the ground and we have a team that we believe can accomplish it David Hand who leads our Asia business is a very able an experienced executive and has been in the region for a lot of years. And we're looking forward to watching as he executes on our long-term strategy around Japan.
Operator: Your next question comes from the line of Frederic Bastien of Raymond James. Your line is open.
Frederic Bastien: Great to see organic growth rebound across your operations in the quarter. My first question is actually just like to build on this opportunity in Japan, I understand it’s only a handful - not handful but up 20 professionals right now. But how big of a business can you grow to in 2018 can you share perhaps some of that targets you have for the operations?
John Friedrichsen: John looks it’s going to be somewhat of a function of obviously the people that we have on the ground ramping up. We think we have a good start and they will be - are generating revenue we’ll increasingly generate revenue over the next year and beyond. What we're going to need to augment that operation with additional professionals we're keen to do that. The business there is kind of a bit of rebirth though the brand has already know the market but it will be a new Colliers in that market and a highly attractive place for those who want to come and be part of this success story. They will be acquisition opportunities for those who are not necessarily known at this time. The only thing I would say is that we would certainly expect this business to be profitable in contributing EBITDA in 2018. And given that it’s the third largest market in the world, there is huge opportunities for us to establish Colliers in that market and for it to become a significant part of our Asia-Pacific and global business. So we’re committed.
Frederic Bastien: Just wondering also if you could provide a bit more color on the - you noted some significant office lease transactions that you completed in the U.S. Were those the ones you had contemplated closing earlier in the year or did they come from new leads?
Jay Hennick: These have been transactions that have been works for a while and they’re sizable or complex and we were able to successfully conclude those in Q3. There were more out there and you know a lot of this is a result of some of the investment we made and people that’s operating our talent around our various major markets in the U.S. over the last few years. So we are very, very pleased to see the success that our people have had working with our clients in achieving some really great outcomes and we saw that Q3.
Frederic Bastien: Last one from me, you saw a significant increase in the acquisition related items in Q3 and then you did announce some deals but they were pretty small is that, is that a good indication of what sort of level of activity works we can expect from a M&A standpoint in terms of closing transactions in the short-term?
Jay Hennick: It's not necessarily indicative, it's more of a historical capture of costs related to acquisition activities. There was a significant amount included with respect to Japan and settling that situation and repatriating the brand and our company control. And then some residual acquisition-related expenditures which because of the way GAAP forces you to characterize certain expenses that are really related on earn outs that are tied to retention of people that we have picked up on acquisition. We adjust for those, it doesn’t really make sense from our perspective to run through the P&Ls. So we adjust for those and have always done that. And those crystallize during the quarter as well. So it ended up being an elevated expense.
Operator: Your next question comes from the line of Stephen MacLeod of BMO Capital Markets. Your line is open.
Stephen MacLeod: Just circling back on Japan, which obviously was a significant geographic add-on to your footprint and one that you've been trying to get to for a while. You mentioned some of the costs sort of dragging in Q3. Do you expect those -- are those largely onetime in nature? Do you expect those costs to kind of drag through Q4 and into Q1 until that business becomes more profitable?
John Friedrichsen: I would expect that we'll see that certainly through Q4, probably Q1. Q1 tends to be a bit of a seasonally light quarter in our business. So I wouldn't expect to see positive EBITDA contribution until we get under Q2 of next year. That will be my best estimate now, but the numbers we're talking about are small.
Stephen MacLeod: And I know you've had a couple of questions on the Japan business, but I just wanted to just get some color on what you view as -- what are you able to do with the business now that it's company-owned versus what you couldn't do previously when it was an affiliate?
Jay Hennick: Well let me count the ways, when you have an affiliate who is carry-on business in a certain way for a lot of years, they get stuck in a rut and they do things their own way. So that's one of the -- there's a blessing that you have an affiliate. There's also the curse of adopting the affiliate and not having to patiently reformat and reinvigorate the business. But from our perspective, we have a strong and growing Asia business with great leadership that has a unique passion for the business and knowledge of Japan for a variety of reasons. Owning the business gives us the ability to go into the market and be a viable option for top professionals who may want to join us. But I think the potential, the bigger potential is, is there a significant transformational acquisition opportunity within the market, a Japanese firm that is well known locally that has more maturing clients that want to do business in more geographic regions not just in Asia, but potentially around the world, they like many others need to have access to a global platform like Colliers provide. So we're seeing that in other markets as well where, as the local firm becomes better at what they do and their client relationships strengthen, their clients are asking them to do more to take them to more places to introduce them to more opportunities and capital sources and if you're operating only within one market those capital sources and relationships and real estate opportunities are really limited to that country. So we're optimistic that over the next couple of years we can find a great acquisition that will significantly enhance our position in Japan recognizing the culture differences. And as I said earlier in Japan there is a significant I don’t know significant is a right word a longer-term dating process around acquisitions and it is one where you have to build confidence and trust with the target over a longer period of time potentially than in many other markets.
Stephen MacLeod: And then I just had one final question. In terms of the Americas, can you just talk a little bit about some of the puts and takes on margins? In light of the 8% organic growth, I thought maybe we'd see more leverage on the margin side.
John Friedrichsen: Couple things and back to margins we’ve talked about this before we have made some additional investment in people like many others have and that is negatively impacted margins a little bit. Currently and that will alleviate going forward as many of those in the recruit side become productive start generating revenues. And then we made a large acquisition earlier in the year which just tends to operate with somewhat lower margins than the overall margin in the U.S. There is a little bit of a dilutive affect there on the margins so just we didn't get as much of an uptick really no uptick the operating leverage is more muted, but notwithstanding that this was a very, very good results for our U.S. business in the quarter. And not to say that take any credit away from Canada which also had a very, very strong result for the quarter.
Operator: Your next question comes from the line of Mitchell Germain of JMP Securities. Your line is open.
Mitchell Germain: So I want to talk about the sales brokerage business, obviously markets shrinking you guys had some pretty meaningful growth there. And I'm curious Jay is it just kind of going the landlords or the customers going to the more known names is it a function of some your hiring I’m just curious as to what's really anchoring that growth?
Jay Hennick: So I think it's all over the map and its somewhat different and different geographic regions. So for example the capital markets team that we invested in last year has had some very nice traction in New York notwithstanding the fact that New York and capital markets right now is pretty muted. And I think when you think about the Brexit impact last year in the U.K. and John’s already alluded to this but it’s quite graphic if you look at our numbers. The capital markets transactions in the U.K. last year just came to a halt so this year you're seeing a major uptick and we benefited by that this quarter. So there is a little bit of that and the same in Germany, Germany was impacted somewhat by dislocation in Europe and they responded this quarter with great results last quarter was okay. They had some transactions that were delayed but really when you think about its last year versus this year and the impact that the European situation had on the operations in Germany. So you marry a lot of that together and the share that we believe we’re picking up in different geographic regions as we continue to top grade our people is bearing fruit and it’s nice to see.
Mitchell Germain: And then the last for me. I ate to ask another one on Japan, but when you envision the growth of that business, you said around 18 or 20 people what's the mix in terms of personnel? There is a focus, focus on investment sales? Is it if you just kind of know what that population of people and the roles are and maybe how your foresee that kind of building out over time?
Jay Hennick: It's a great question but I think it is early because we're going to have to be the management in the region has very clear about this, we're going to be opportunistic. We have a clean slate and so the opportunity is for us to strengthen virtually every line of our business in that region and we're going to have to capitalize on high caliber professionals when and if they become available. So it's a good question and one that we might have a clearer answer on 12 months from now, but right now let's get up and operating, let's bring ourselves to at least the level of profitability and let's capitalize on the strategic about as much we can about professionals that we recruit.
Mitchell Germain: I am showing 12 months we'll be seeing that business being very profitable. Thanks a lot for your time.
Operator: Your next question comes from the line of Marc Riddick of Sidoti & Company. Your line is open.
Marc Riddick: So I was all set to ask a Brexit-related question but you did a nice job with a summary on the question before. So I don't have to ask that one. I can move sort of on to I wanted to get a sense of if you could give a general update or view of what you're seeing in the outsourcing trends and if there are any particular trends to call out that you think could pick up over in the next note 12 to 18 months? What you see that could jumpstarted going forward? Thank you.
Jay Hennick: Well I would say that we see at Colliers a big opportunity around multi market transactions and larger corporate relationships that have started to open up to Colliers because of the growing strength of our platform. Historically these large corporate contracts have been limited to two or three and we now have a seat at the table and we've enjoyed some great growth around our corporate solutions business. We're not talking about it too much just yet, but I think John corporate solutions is up at least 30% this year, maybe more and it's led by our long-term Colliers team in North America headed by Scott Nelson and our teams in Europe and Asia are all strong as well. They're working together cohesively, but I think there's a lot more work to do and opportunity to create as well as the multimarket transactions that we are emphasizing around the organization. How do we take a client that we have an incredibly strong relationship within Germany and help them grow their business into different geographic regions better than we have historically and we've got some initiatives going on internally around those things, but really too early to the start to track them and turn them into KPIs that would be meaningful for anybody.
John Friedrichsen: I would just like to add to that, just picking up on what Jay said, we're clearly focused on the whole outsourcing area. It's absolutely a secular growth story. It's not going away. It's permanent through ongoing growth this company decide to outsource those activities which are not core to their operations. We've completely dialed into that. What we won't do and what we aren’t doing today in any event compared to our -- many of our competitors is force - force our clients into a situation where we are a provider of facility management services. We’ve chosen not to invest heavily in that business like other competitors have we’re mindful that’s the service of some of our clients want us to be involved in procuring. We’re happy to do that but it’s our client first strategy for us.
Marc Riddick: And to the extent that specially with the multi-market large clients that you’re looking at are there any additional services or pieces that you would like to add or would you as a priority to add to your platform to get further along in that process or are you comfortable with where you are currently?
Jay Hennick: Well it’s an excellent question but the answer is we have the full spectrum of services in places around the company but not necessarily in all places. So just to give you by way of an example in Germany which is a very strong business for us where we dominate in leasing capital markets in a variety of other things. We don't do project management as an example we do very little property management as an example. And so I can give you country by country, region by region where we’re strong in some areas but we have gaps in our business including our base business. I would say in some markets we have a gap in high end tenant rep and landlord agency in areas where we dominate in other areas throughout the region. So the beauty of this business is that there are so many different areas of growth and the way we have chosen to do this strategically is to understand what our gaps are, market by market and fill those gaps and transfer capabilities from one market to another if we have it and grow that way. So we we’re quite excited about the various areas that we can grow our business virtually around the world.
Operator: Your next question comes from the line of Brandon Dobell of William Blair. Your line is open.
Brandon Dobell: Maybe for John, I guess to start with how do we think about in the U.S. and EMEA in particular headcount both organic headcount growth year-to-date and any color around just call the transactional businesses versus non-transactional businesses?
John Friedrichsen: Headcount growths have been below certain single digit percentages we’re really focused on that but it’s an exercise around quality and fit it's a very, very important. We’re as focused on the quality of our headcount professionals which means calling in some markets as opposed to absolute numbers. And that is going to assist us in dealing with the kind of clients we want to engage with our productivity which we talked about before and all those kind of things. So it’s a very, very important. The second part of your question was regarding transactional was that also headcount was that sort of separate question.
Brandon Dobell: No, it was headcount and I guess it’s called the transactional service lines versus once sort of progress more on corporate services?
John Friedrichsen: I mean we’re always and just to pick up on Jay’s comment before I would say there's very few markets where we feel popped out in any respect and I think that a really great thing for us in terms of growing our business. And I think Colliers has an incredibly attractive platform really for others who may feel quite stifled where they are it’s a different environment within the business year we’re very focused on adding high-quality professionals on transaction side and virtually all markets around the world of being again very selective in making sure we have a very good fit with who we already have on Board.
Brandon Dobell: And maybe a couple years ago one of the call there was some discussion about just the breadth or scale by the affiliates that still were out there especially in the North American market, any color you guys can give us on how much affiliate revenue was still out there and what the prospects are for you guys from an M&A point of view to bring some of those affiliates back on the full?
Jay Hennick: Yes, there are still in North America alone. There might be $300 million to $400 million worth of affiliate revenue per se. In fact we recently initiated a program to increase the number of our affiliates in secondary markets. We're always interested in bringing affiliates on as company-owned operations, but those that are market leaders in their own region and those that we think that we can accelerate their growth as part of company-owned business as opposed to being independent. So there's lots still out there, but for the most part with a few exceptions, all major markets now are pretty much company-owned and some of the secondary markets that I alluded to earlier are fast becoming major markets at least for us and so we're excited about some of those things. But I think overall the U.S. business could talk for us this year $1 billion in revenue with another like I said $300 million, $400 million in other revenues out there and which gives us opportunity to grow, but also doesn't preclude us from adding other well-managed real estate professionals to our ranks whether we're recruiting a team or whether we're making an acquisition of a third-party branded organization.
Brandon Dobell: And last one for me maybe John just to make sure I understand how you guys are communicating some of the year-on-year comparison issues around Brexit in EMEA transaction part of the business recognizing that Q3 was noisy, how do we think about Q4? Was it as noisy as Q3? I know there was some progress back in Q4, but I felt like it was still a really difficult fourth quarter last year for the transaction businesses in the U.K. in particular but just in Europe in general, just want to make sure I understand the relative pain you guys felt last year?
John Friedrichsen: Well Q4 we did see some recovery in the U.K. last year. It would have been relatively close to prior year in Q4. So there was some reasonable recovery and we saw it continue through this year and obviously played out well in the last quarter we just completed. So it was not quite the wreck we saw in Q3 by any stress or was decent recovery. We also had a relatively strong finish in Germany last year in Q4. So we got a little bit of FX tailwind as well just to read into some of this. We've seen currencies particularly the U.K., the pound we're pretty much on par with. We saw some deterioration. So we'll have a little, presumably a little bit of a tailwind around the pound in the next few quarters and we're already seen a little bit of a tailwind around the Australian dollar, Canadian dollar and euro on a year-over-year basis to turn around 4%. So hopefully that will be additional tailwind going into Q4.
Operator: Your next question comes from the line of Michael Smith from RBC Capital Markets. Your line is open.
Michael Smith: Just continuing on the U.K. theme. Barring anything that comes out as any surprises, would you say it's back to normal for the investment sales market in the U.K?
Jay Hennick: I would say that it is largely business as usual, certainly with respect to I'd leasing in particular which tends to be a little perhaps less affected by some of the noise that we saw and in decision that stemmed from the Brexit the last year. I would say that perhaps capital flows in terms of composition of investors and who is looking at the U.K. and deploying capital in the U.K. that may have changed but in terms of players but we continue to see a lots of interest in the U.K. from Asian and U.S. investors in particular who I still believe are looking at the U.K. as a near term opportunity with the pound again relatively low compared to historical levels. And I guess those taking a view of that notwithstanding Brexit the U.K. is going to continue to be a significant economy and participant within Europe. So maybe a little bit different than it was in the past but I would say not nearly the situation we saw a year ago.
Michael Smith: And during the quarter, you benefited from some large lease transactions that you've been working on for some time. Just wondering if you're working on any -- how your pipeline is for large - additional large lease transactions?
John Friedrichsen: I'd say that the pipeline remains solid and again I think there is the overall market and then there is us and our business and the investments we have made previously I think there are not bearing fruit and our professionals having great success. And I also think that on top of that as we built a school platform and Jay referred to multimarket transactions, that is increasingly getting traction within our business and it is resulting and the kind of things that we saw in the Q3. So there’s obviously no promises on these appeal themselves but we feel very good about where we are positioned in the activity we’re seeing currently in our pipeline.
Michael Smith: And last question, any let up in the strength of the Canadian and Australian markets?
John Friedrichsen: Any let up you mean sort of in Q3 or in fact what was going forward.
Michael Smith: Going forward, like is it still holding on strong - Canada was pretty strong contributor I guess Australia was the same.
John Friedrichsen: Yes we see good activity, solid market conditions and continuing activity our visibility in terms of what we can see relating to our pending transactions and so forth tends to be strong.
Operator: [Operator Instructions] Your next question comes from the line of Stephanie Price of CIBC. Your line is open.
Stephanie Price: Jay you mentioned the opportunities in increasing market share several times during the call. Can you talk a bit about the competitive environment in a different geographies?
Jay Hennick: It's competitive everywhere Stephanie but I think that if you still it down we are different than our other local peers. There is a very few local peers, they have been around a long time. They have a lots of legacy issues, they also have lots of strong legacy relationships but I think as the new kid on the block with more entrepreneurial approach and told throughout the organization not just at this level but at every level in our organization and the efforts that we are extending and continuing to communicate that is reflecting - its reflecting on our professionals, its reflecting on our pitches to our clients, we’re getting a seat at the table to offer new and different ideas to our clients rather than just simply be order takers. We come to the table with an opportunity or some different way of looking at their portfolio. And so I think it is building culture and strengthening it is an everyday occurrence and not easy when you're dealing with professionals around the world. But we have great management teams and in our different geographic regions that are all aligned around this vision and strategy and its helping us to continue to win share. And again winning share in the U.S. is an amalgam share because you're doing better in New York, you may not be doing as well in a different market and so you've got to balance it all to actually come up to a conclusion that you're gaining share. But I would say that 11% growth in a growing internally over the past quarter in a growing market or a stable market in the U.S. I would say is taking share.
Stephanie Price: And maybe can you talk a little bit more, I know we've talked about on the call already about the organic growth in the U.S. and we talked about leasing transactions, but where are you seeing the growth in sales and outsourcing and how would you characterize the U.S. and Americas environment?
John Friedrichsen: Stephanie, this is John. We're seeing in most major markets. Again Jay referenced New York. New York for us work in progress. We made significant gains there in terms of our business, but we're certainly not done and we got lots more to do, but extending that to other major markets within the U.S. the West Coast, the San Francisco the LAs, all important markets and then of course Heartland, Chicago. Jay mentioned Detroit, which is an up and coming reemerging market and there are those like that in the U.S. that we're well-placed and have been there for a while and I think in some respect some of our competitors probably overlook those markets and now we're focused on those and benefiting from some of those. We're also growing our property management and project management business in the U.S. that again those businesses were a fraction of their size and in accordance with what we've talked to before having a balanced business, those are areas of great focus as well and we're continuing to build momentum, crops entire platform in all those markets. But the secondary markets in the U.S. are interesting because not surprisingly as pricing has maybe gotten a bit choppy in some major markets capital has pursued opportunities in secondary markets and along with companies that are seeking to expand. So it's a good news story around the U.S. for us.
Operator: There are no further questions in the queue at this time. I'll turn the call back over to Mr. Jay Hennick.
Jay Hennick: Well thanks everyone for joining us and we look forward to our next conference call in February with our final year results. Thanks again and have a good rest of the week.
Operator: Ladies and gentlemen, this concludes the quarterly investor's conference call. Thank you for your participation and have a nice day.